Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Spruce Power Fourth Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. And I would now like to turn the conference over to Scott Kozak, Director, Investor Relations. You may begin.
Scott Kozak: Thank you, operator. Good afternoon, everyone, and welcome to Spruce Power's fourth quarter and full year 2024 earnings conference call. First, I would like to briefly introduce myself. I recently joined Spruce as the company's new Director of Investor Relations. I look forward to meeting all of you in the days and weeks ahead. Joining me today are Chris Hayes, our Chief Executive Officer, and Sarah Wells, our Chief Financial Officer and Head of Sustainability. Before we begin, I would like to remind you that we will comment on our financial performance using both GAAP and non-GAAP financial measures. Important information about these non-GAAP financial measures, including reconciliations to the comparable GAAP measures, is included in our earnings release for the fourth quarter and full year 2024. Our discussion will also include forward-looking statements. These statements are not statements of historical fact, reflect our current expectations and are subject to risks and uncertainties that could cause actual results to differ materially from those expressed. There can be no assurance that actual performance will not differ materially from any future expectations or results expressed or implied by these forward-looking statements. We undertake no obligation to publicly revise or update any forward-looking statement. Please refer to our earnings release and our other SEC filings for further discussion on Spruce Power's risk factors and other important information regarding our forward-looking statements. All comments made during today's call are subject to that safe harbor statement. With that, I will turn it over to Chris.
Chris Hayes: Thank you, Scott, and good afternoon, everyone. I will begin by providing our perspective on the residential solar market. Recent challenges in the sector are well known. And while we are not immune to those factors, it is important to highlight what differentiates Spruce Power from other players in the residential solar space. Most importantly, in this time of heightened uncertainty across the broader solar market, Spruce Power offers investors greater stability and predictability. While many of our peers are heavily dependent on aggressive new customer acquisition strategies, externally financed working capital, continuous growth in new solar installations and government assistance, Spruce Power operates on a fundamentally different and more resilient business model. Since Spruce Power is not a seller, installer or originator of new solar installations, we do not have significant fixed costs. In addition, our financial health is not contingent on new sales or external capital markets. Rather, our business is predicated on maximizing the value of existing solar assets through operational efficiencies, maintenance and superior asset management. Today, we own and manage a portfolio of approximately 85,000 home solar assets and customer contracts. These installations generate stable long-term contracted cash flows for the company, providing resistance to macroeconomic headwinds. This structural advantage makes Spruce Power a more stable and cash-efficient business. More than ever, consistency in cash flows is what differentiates Spruce Power as a trusted long-term operator in the residential solar sector. Now, let's look back on 2024 and highlight our key accomplishments. First, we grew our portfolio significantly. In November 2024, we acquired a residential solar portfolio of approximately 9,800 systems from NJR Clean Energy Ventures in New Jersey. These systems are supported by long-term lease agreements with homeowners, including an average remaining contract life of more than 11 years. Spruce is entitled to the customer payment streams and renewable energy credit program incentives related to the portfolio. The acquisition meaningfully expands Spruce's presence within New Jersey, now representing the company's second largest market with approximately 16,000 customers. We expect to benefit from efficiencies associated with increased geographic density. This is an exciting acquisition that provides immediate positive impact to Spruce's financial and strategic outlook through continued scaling of our ownership of home solar assets and contracts. Overall, Spruce increased our total owned portfolio to approximately 85,000 home solar assets and customer contracts across 18 states. I will also note that the NJR acquisition had a materially positive impact on Spruce's growth portfolio value. Inclusive of NJR, our gross portfolio value was $910 million in the fourth quarter, whereas our gross portfolio value would have been $749 million without the NJR transaction. This further demonstrates the value of the NJR transaction, particularly given our ability to execute while maintaining disciplined cash restraint. Second, we made major improvements that enhanced our operational efficiency and increased revenue. I'm proud to report that Spruce reconnected 4,800 systems, reduced ticket cycle times and cleared 10,000 backlog service tickets. We also implemented an advanced asset management system and upgraded meters across our portfolio. Because of these improvements and other upgrades, we drove a material increase in customer experience. Our customer satisfaction, or CSAT, score rose to 83% in 2024, up from 74% in 2023. Third, our GAAP expenses associated with our legacy XL Fleet legal matters are now behind us. These one-time charges obscured our true financial model. We're excited to begin 2025 with XL Fleet in the rearview mirror. Finally, we successfully launched our third-party servicing channel, which was a major initiative for Spruce. Let me discuss this in more depth. Spruce Pro, our third-party solar servicing platform, is gaining traction. In December 2024, we finalized a third-party servicing agreement with ADT Solar covering approximately 60,000 systems. This validates our optimism and is testament to our capabilities. By partnering with Spruce Pro, third-parties like ADT Solar can leverage our experience and maximize productivity, uptime and efficiency in areas such as financial asset management, billing and collections, asset operations, account services, homeowner support, IT support and implementation. And finally, SREC marketplace. We believe that Spruce Pro Channel plays to our strengths and has strong potential to deliver capital light growth. To support this effort, we hired a high-impact sales rep specifically focused on delivering additional new business wins modeled after ADT Solar or Spruce Pro. As we position the company for a successful 2025, I will remind you that our corporate strategy is built on three pillars. First, we acquire portfolios of installed systems, then sell additional services and leverage strategic partnerships to drive profitable expansion. We did this with the NJR transaction in 2024 and are working to opportunistically identify additional favorable transactions in 2025. Second, our Spruce Pro channel enables us to maximize return on assets and capital-light growth. We leverage the company's decade plus experience in management of its wholly owned residential solar assets to offer a suite of services that can be tailored for third-party owners of distributed generation assets. These services include financial and asset management operations and customer service support. While each of these third-party agreements will be customized, we are confident that we can source other partnerships like ADT Solar. Third, we are focused on expanding subscription-based solutions for distributed energy. We are extending our proven solar servicing platform to the distributed energy resources market. Our strategy produces business opportunities and a platform for predictable and healthy revenue and cash flow, whether conditions in the residential solar sector are favorable or distressed. Moreover, we prioritize long-term financial stability over short-term sales growth. This along with our long-lived cash flow generating assets enables us to be patient and meticulous as we identify, structure and execute agreements that add shareholder value. We are also implementing several cost optimization strategies in 2025. Most prominently, we are focused on driving down operations and maintenance, or O&M, costs. We talked about elevated O&M expense throughout 2024 because of the early arrival of anticipated maintenance. The actions we are taking should sharply reduce O&M expenses as 2025 progresses. In addition, we are making operational enhancements through strategic sourcing and procurement and better vendor management. By developing channels of supply and services at low cost, we foster more predictable pricing models and benefit from job cost savings. We believe these efforts will drive improved operating efficiency and margin expansion in 2025. Before I turn the call to Sarah, I want to reiterate the financial strength of our business. We continue to generate stable, predictable cash flows, reflecting the resilience of our unique business model despite the currently challenging residential solar environment. This remains a long-term competitive advantage for Spruce. Financial discipline is at the core of our strategy and we are committed to maintaining operational efficiency and shareholder value creation. Let me now turn it over to Sarah, who will provide a detailed review of our financial results and outlook.
Sarah Wells: Thank you, Chris. I will now provide additional details regarding our fourth quarter and full year 2024 financial results. In 2024, we took important steps to strengthen our financial position and enhance operational efficiency. Fourth quarter revenue was $20.2 million compared to $15.7 million in the prior year period, with the increase primarily attributable to higher revenues associated with the NJR acquisition and using a conservative approach to recognizing revenue for delinquent customer accounts in accordance with GAAP in the prior year. On a full year 2024 basis, GAAP revenue was $82.1 million compared to $79.9 million in 2023. Fourth quarter core OpEx, which we define as SG&A and portfolio O&M, was $20.7 million in total as compared to $17.6 million for the prior year period. Portfolio O&M expense decreased to $5.3 million in the fourth quarter from $5.6 million in the prior year period. SG&A expense increased to $15.5 million in the fourth quarter from $12 million in the prior year period. For this quarter, SG&A was negatively impacted by an increase in professional services incurred in connection with the NJR acquisition and a conservative shift in how we recognize CECL reserve for delinquent customer accounts in accordance with GAAP in the prior year. These costs amounted to $2.1 million during the quarter. Spruce generated a GAAP net loss attributable to stockholders of $5.9 million. As a reminder, we consider operating EBITDA a key measure in evaluating the company's financial performance, which is defined as adjusted EBITDA plus several items that represent material cash inflows from our ongoing business and strategy. Operating EBITDA was $10.8 million for the fourth quarter versus $11.3 million in the prior year period. On a full year basis, Spruce's 2024 operating EBITDA was $53.9 million. Despite the substantial improvement in the fourth quarter relative to the prior period, we missed our full year 2024 operating EBITDA guidance range of $57 million to $62 million primarily due to O&M and legal expenses. As Chris communicated previously, servicing existing solar installations produces predictable revenue and cash flow streams and Spruce prioritizes long-term financial stability over short-term sales growth. We acknowledge that the acquisition of installed systems and agreements related to Spruce Pro are lumpy, and will only occur when the deal terms we require are satisfied. Given these priorities and constraints and the backdrop of a volatile residential solar, macroeconomic, inflationary, interest rate and utility rate environment, we have decided not to provide financial guidance at this time. At the end of the fourth quarter, total cash, inclusive of unrestricted cash and restricted cash on our balance sheet, was approximately $109.1 million. Our unrestricted cash balance at quarter end was approximately $72.8 million versus $113.6 million at the end of the third quarter. The sequential decline in unrestricted cash is largely due to the NJR transaction, although ongoing operational spend including O&M costs as well as legal expense also contributed. The total principal balance of long-term debt was $730.6 million at the end of the fourth quarter, with a blended interest rate of 6% including the impact of hedge arrangements. All of Spruce's debt is non-recourse and serviced by customer collections of our various portfolio companies. At quarter-end, all of our floating rate debt instruments were materially hedged with interest rate swaps extending into the early 2030s. These hedge arrangements had a net mark to market of positive $24.2 million at quarter-end. Spruce's financial goals in 2025 are to optimize cash flow and manage operating expenses to improve efficiency. With that operator, we are going to take questions.
Operator: Thank you. And we will now begin the question-and-answer session. [Operator Instructions] And there are no questions at this time. I will now turn the conference back over to Mr. Chris Hayes for closing remarks.
 :
 :
Chris Hayes: Thank you, operator. I want to emphasize that we remain laser-focused on scaling our platform, optimizing our capital structure and delivering consistent financial performance. One final remark is that we welcome Scott Kozak as Director of Investor Relations as we expand communication with the investment community in 2025. Thank you for your interest in Spruce Power and for participating in our call today. We look forward to updating you throughout 2025.
Operator: And ladies and gentlemen, that concludes today's call, and we thank you for your participation. You may now disconnect.